Operator: Good afternoon, and welcome to the Equinix Third Quarter Earnings Conference Call. [Operator Instructions] Also, today's conference is being recorded. If anyone has any objections, please disconnect at this time. I would now like to turn the call over to Phillip Konieczny, Senior Vice President of Finance. You may begin.
Phillip Konieczny: Good afternoon, and welcome to our third quarter conference call. Before we get started, I would like to remind everyone that some of the statements that we will be making today are forward-looking in nature and involve risks and uncertainties. Actual results may vary significantly from those statements and may be affected by the risks we identified in today's press release as well as those identified in our filings with the SEC, including our most recent Form 10-K filed on February 12, 2025, and our most recent Form 10-Q. Equinix assumes no obligation and does not intend to update or comment on forward-looking statements made on this call. In addition, in light of Regulation Fair Disclosure, it is our policy not to comment on its financial guidance during the quarter unless it is done through an explicit public disclosure. On today's conference call, we will provide non-GAAP measures. We provide a reconciliation of those measures to the most directly comparable GAAP measures and a list of the reasons why the company uses them in today's press release on the Equinix Investor Relations page at www.equinix.com. We have made available on the IR page of our website a presentation designed to accompany this discussion, along with certain supplemental financial information and other data. We would also like to remind you that we post important information about Equinix on the IR page from time-to-time and encourage you to check our website regularly for the most currently available information. With us today are Adaire Fox-Martin, CEO and President; and Keith Taylor, Chief Financial Officer. Following our prepared remarks, we will be taking questions from sell-side analysts. At this time, I'll turn the call over to Adaire.
Adaire Fox-Martin: Thank you, Phillip. Hello, everyone, and a very warm welcome to our Q3 2025 earnings call. Equinix delivered a very strong third quarter, a performance that continues to demonstrate our ability to rapidly invest in significant expansion whilst growing our top line and improving profitability. This performance was underpinned by three highlights. First, top line growth. We are seeing continued revenue acceleration, delivering MRR growth of 8% year-over-year on a normalized and constant currency basis. Further, we also achieved record annualized gross bookings of $394 million, a meaningful 25% increase year-over-year and up 14% over Q2. Importantly, this accelerated growth comes from a highly diversified set of customers across geographies, industries and segments. Second, profitability. We again delivered strong adjusted EBITDA margins for the quarter, and AFFO was up 12% year-over-year on a normalized and constant currency basis. This was better than expected and reflects strong flow-through of our operating results, favorable net interest expense and timing of recurring CapEx spend. As a result, we are raising our adjusted EBITDA, AFFO and AFFO per share guidance for the full year. Third, expansion. Given the strong demand backdrop, we are advancing our Build Bolder strategic move where our intent is to double capacity by 2029. We have recently closed on substantial land acquisitions in our Greater Amsterdam, Chicago, Johannesburg, London and Toronto metros, which will support over 900 megawatts of retail and xScale capacity. These results indicate that our strategy is gaining even more traction and resonating with our customers as we continue to deliver differentiated infrastructure, products and levels of service. On the topic of customer resonance, we achieved significant momentum in Q3, closing over 4,400 deals with more than 3,400 customers. This volume reflects continued demand for a wide variety of latency-sensitive AI and non-AI workloads, supporting significantly increased data residency and sovereignty requirements and delivering seamless connectivity to distributed data sources. Our rich ecosystems continue to proliferate across a variety of sectors. including key verticals such as automotive, financial services, networks as well as cloud and AI service providers. Hyundai Motor Group, for example, runs its proprietary HCloud platform at Equinix. Using Equinix Fabric, Hyundai connects to multiple cloud providers in Asia Pacific, the U.S. and EMEA. This enhances customer experience and improves service quality for over 10 million Hyundai connected-car subscribers worldwide. Zetaris, an AI data lake house platform provider, relocated its AI workloads to Equinix. Using Equinix's distributed AI infrastructure, Zetaris is helping its customers develop Agentic AI and other AI applications 6x faster and at 1/3 of the cost. ING is making a strategic shift by migrating its core banking infrastructure in Germany to Equinix, showcasing our ability to help customers meet strict regulatory standards and requirements. Nitori, the largest furniture and home furnishing chain in Japan with over 1,000 stores across Asia and the U.S., partners with Equinix to connect its Osaka and Tokyo operations with low latency to Oracle Cloud. This helps them simplify their network for future expansion and supports Nitori's growth objectives of tripling their branches worldwide. In addition, we saw continued momentum with key AI-related magnets and enterprises, including Ally Bank, Bristol Myers Squibb, Nebius and Groq amongst others. As I've shared in previous earnings calls, our strategy comprises three strategic moves orchestrated across the business to accelerate our expansion, innovation and profitable top line growth. We continue to deliver strong results and see accelerating momentum against each. The first strategic move is Serve Better. As evidenced by our recent customer wins, Serve Better is rooted in delivering value to customers at every stage of their engagement with us. Customers are increasingly looking to secure both their immediate and their long-term infrastructure requirements. This robust demand profile resulted in our record $394 million of annualized gross bookings in Q3. For clarity, this annualized gross bookings number represents the bookings we expect to start generating revenue within the next 90 days. Additionally, we have a presold balance totaling $185 million of annualized gross bookings. This presold cumulative balance will start generating revenue beyond 90 days. As of yesterday, we have closed more than 40% of our Q4 bookings plan. We have ample pipeline to achieve our Q4 bookings targets and to build momentum heading into 2026. Our second strategic move, Solve Smarter, is focused on simplifying the consumption of our solutions and extending the value of our leading interconnection capabilities. Our interconnection products had an exceptional quarter. We added 7,100 net physical and virtual connections in Q3, bringing our total to more than 499,000. Interconnection revenue grew 8% year-over-year on a normalized and constant currency basis to $422 million, driven partially by a 57% year-over-year increase in our fabric bookings in Q3. We also added two new native cloud on-ramps in Barcelona and Dubai, adding to our market-leading share of native private cloud on-ramps. These results highlight the critical importance of low latency and proximity to end users and our ability to deliver it as both enterprises and service providers manage their distributed architectures. In September, we unveiled our distributed AI infrastructure solution. This includes a new AI-ready networking backbone and Fabric Intelligence software designed to support enterprise inferencing workloads. We showcased these capabilities at our first AI Summit together with key partners and industry leaders, including NVIDIA, Dell, Groq, HPE, Adobe, Zayo, Zoom and WWT. Our customers and partners provided use cases to highlight how Equinix is uniquely positioned to comprehensively deliver on their demands and requirements at enterprise level. And finally, Build Bolder. Through Build Bolder, we are both accelerating and innovating the delivery of capacity around the world and securing our future through strategic land acquisitions. As mentioned earlier, we are excited to announce that we have recently closed on land acquisitions in several high-demand markets to serve customer demand across both our retail and xScale businesses. This brings our total developable capacity to approximately 3 gigawatts, a nearly 50% increase from last quarter. These are the latest steps towards doubling our available capacity in the next 5 years. Since our last earnings call, we added seven new projects, including our Dallas 12 development, which is expected to deliver roughly 3,700 cabinets or approximately 67 megawatts of capacity to this key metro. We now have 58 major projects underway globally, including 12 xScale projects. 20% of our retail capacity has been considerably accelerated from the initial delivery date. We also opened our 77th market in Chennai, India as we continue to invest in this fast-growing region. More than 75% of our retail expansion is in major metros and more than 90% of our expansion CapEx is on owned land or where we have long-term ground leases. Our stabilized cash-on-cash return expectations for these retail expansions are approximately 25%, which is consistent with our existing portfolio. Our North American JV continues to show exciting progress with the closing of our Chicago land acquisition, which we anticipate will be contributed in large part to our xScale business in 2026. In addition, we are in late-stage negotiations for the lease of the entire capacity at our Hampton campus with potential xScale customers. The overall demand picture for our xScale business remains robust as key players continue to seek capacity in major metros, aligning with our xScale strategy. As our results show, we are consistently delivering on the immediate needs of our customers and the expectations of the market, whilst expanding our salable capacity in anticipation of even greater sustained long-term demand, and we are doing this very profitably. We have been built for this opportunity, and we will continue to build for it. Let me now turn it over to Keith to share more on the quarter and our Q4 outlook.
Keith Taylor: Thanks, Adaire, and good afternoon to everyone. Further to Adaire's remarks, the business delivered a very strong third quarter, which immediately translated into solid financial and nonfinancial results. Nearly every key metric was at or better than expected. Our sales teams delivered record annualized gross bookings across our diversified customer base, resulting in very healthy net bookings in Q3. To further demonstrate the strong momentum in the business, Adaire highlighted we now have $185 million of annualized presales, which will be recorded as bookings in future quarters. Over 40% of the current presales balance was signed in Q3 as customers increasingly look to secure their future growth within our ecosystems. And we continue to deliver accretive value to the bottom line with AFFO well ahead of our expectations for the quarter. So our strong performance in Q3, coupled with our strategic efforts to continue to secure land for future growth in our major metros is setting the stage for 2026 and beyond. And given our balance sheet is a strategic differentiator, it provides us with the flexibility to invest into a robust demand backdrop and the financial capacity to secure our future energy needs. Finally, our relentless focus on best-in-class capital allocation for our investors while delivering durable long-term value, remains a key priority for us as we execute against our Build Bolder initiatives. As it relates to our nonfinancial metrics, they continue to demonstrate positive momentum across nearly all dimensions, including net interconnection additions, provision VC capacity, pricing, volume of transactions and cabinets billing. We added a healthy 7,100 net interconnection adds in the quarter, supported by cloud and enterprise connectivity. Cabinets billing stepped up 2,500 cabinets led by strength in the Americas region. With our record Q3 gross bookings performance, we expect our cabinets billing metric to continue to be strong in Q4. Our global MR per cabinet yield stepped up $41 quarter-over-quarter on a normalized and constant currency basis, primarily due to increasing densities, strong interconnection and firm pricing across each of our regions, consistent with the broader supply-demand dynamics in the marketplace. As Adaire highlighted, we continue to make great progress with our Build Bolder strategy. Our recent land purchases will support more than 900 megawatts of incremental capacity across our full product continuum once built out, meaningfully increasing the capacity to be developed across our portfolio. The capacity to be developed now stands at 3 gigawatts, positioning Equinix to serve the expanding market opportunity across hybrid and multi-cloud and AI. Our investments remain focused on either enhancing our strong existing ecosystems or laying the foundation for both current and future AI inferencing solutions, which will be built on top of our highly differentiated platform. Now let me cover the highlights for the quarter as depicted on Slide 7. Do note that all growth rates in this section are on a normalized and constant currency basis. Global Q3 revenues were approximately $2.32 billion, up 5% over the same quarter last year. Our recurring revenue growth stepped up 8%, which is underpinned by the continued bookings momentum of the business. As expected, our nonrecurring revenues moderated sequentially, largely due to lower xScale fees. Q3 revenues, net of our FX hedges included a $9 million FX headwind when compared to our prior guidance rates. Global Q3 adjusted EBITDA was $1.15 billion or approximately 50% of revenues, up 8% over the same quarter last year. Q3 adjusted EBITDA, net of our FX hedges, included a $4 million FX headwind when compared to our prior guidance rates. Global Q3 AFFO was $965 million, up 12% over the same quarter last year and meaningfully above our expectations due to strong operating performance, disciplined balance sheet management and timing of recurring CapEx spend. Q3 FFO included a $2 million FX impact when compared to our prior guidance rates. As expected, global MRR churn in Q3 stepped down to 2.3%, and we expect Q4 MR churn to be within our 2% to 2.5% quarterly guidance range. And now looking at our capital structure. Please refer to Slide 10. Our balance sheet was approximately $38 billion, which included cash and short-term investments totaling $2.9 billion. Our cash and short-term investments stepped down from elevated levels in Q2 as our capital and real estate investments stepped up, and we repaid $1.2 billion of senior notes. Our net leverage was 3.6x our annualized adjusted EBITDA. During the quarter, we issued U.S. dollar equivalent $500 million in Singapore-denominated green notes at a rate of 2.9%. We also published our green bond allocation and impact report in September. Equinix has now issued approximately $9.5 billion in green bonds with $7 billion in net proceeds allocated to eligible green projects. Turning to Slide 11 for the quarter. Capital expenditures were approximately $1.14 billion, including a recurring CapEx of $64 million. We opened 8 major projects across 7 markets since our last earnings call, adding retail capacity in key metros, including London, Miami, Montreal and Washington, D.C. We opened two new data centers, one in Chennai, India, the other in Monterrey, Mexico. Revenues from owned assets are 69% of our recurring revenues. Now moving to Slide 12. Our capital investments continue to generate strong returns. Our now 188 stabilized assets increased revenues by 4% year-over-year on a constant currency basis and are collectively 82% utilized and generate a 26% cash-on-cash return on the gross PP&E invested. And finally, please refer to Slides 13 through 17 for updated summary of 2025 guidance and bridges. Do note, all growth rates are on a normalized and constant currency basis. For the full year, we're maintaining our underlying revenue outlook with a 7% to 8% normalized and constant currency growth rate. Our expected quarter-over-quarter MRR step-up is greater than $60 million, a significant year-over-year increase, highlighting the underlying momentum in the business and gives us the confidence as we look into 2026. And as we previewed in July, our Q4 revenue guidance also includes a meaningful step-up in nonrecurring fees attributable to the xScale business. As Adaire mentioned, our discussions with potential xScale customers are in their advanced stages. But as with transactions of this size and complexity, the timing of contracting can be fluid, hence, the expanded revenue guidance range. Given our strong profitability in Q3, we're raising our underlying 2025 adjusted EBITDA guidance by another $21 million. Adjusted EBITDA margins are expected to range between 49% and 50% for the full year. We're also raising our underlying 2025 AFFO guidance by another $31 million. AFFO is expected to grow between 11% and 13%, while AFFO per share growth is expected to range between 8% and 10% compared to the previous year. And finally, 2025 CapEx is now expected to range between $3.8 billion and $4.3 billion, including approximately $290 million of recurring CapEx spend. So I'm going to stop here. I will turn the call back to Adaire.
Adaire Fox-Martin: Thanks very much, Keith. So in closing, we remain excited and optimistic about the future and our differentiated and durable market position. We are focused on executing against our Q4 expectations and building our momentum for 2026, and we are very much on track on both accounts. Our intent is to continue to build on the outcomes that defined this quarter, greater capacity, increased revenue and improved profitability and accelerate them as our strategy achieves even greater traction. We were built for this moment, and I am confident we will continue to make the very most of this opportunity in regard to both the long-term growth and long-term value creation for our shareholders. So I'll stop here and open it up to questions.
Operator: [Operator Instructions] Our first question comes from Nick Del Deo from MoffettNathanson.
Nicholas Del Deo: You have a very strong position with cloud on-ramps, and that's obviously helped to pull a lot of enterprise business over time. You've been starting to land some new cloud on-ramps and network nodes. Adaire, I think you mentioned Nebius and Groq in your prepared remarks. I guess how strategic do you think these deployments will be relative to some of the more traditional cloud on-ramps? And what are you doing to actively attract AI magnets like these?
Adaire Fox-Martin: Yes. Thank you very much for the question. Yes, you're right. We have a market-leading position in native cloud on-ramps, which is, I think, a very important part of the connectivity narrative that we have for our customers, and we're in a position to add two additional on-ramps this quarter to our installed base. We also, as you mentioned, have a very strong presence in terms of AI magnets sitting inside the Equinix ecosystem. Companies that I mentioned in my prepared remarks, they are like Zetaris, Lyceum who is a GPU as a service provider in Germany, Block, Groq with a Q, Outrider, Nebius, CoreWeave to name but a few. Many of these Neoclouds are using Equinix as a point of connectivity and a point of presence. And I suspect there's an element of attraction in terms of our 10,000-plus enterprise customers who are also making use of Neoclouds for data storage and for connectivity. So our team, particularly our team in the Americas focuses on this aspect of our customer cohort and manages and engages those relationships appropriately in order to ensure that we have the right magnet representation in our ecosystem going forward.
Operator: Next, we'll go to the line of Aryeh Klein from BMO Capital Markets.
Aryeh Klein: On the strength in presale activity, I think you changed your approach with sales not that long ago to enable them to sell capacity further out from delivery. Is that some of what you're seeing helping to drive the strength there? And then maybe on a related basis, there's a lot of capacity that's set to come online in some of your most important markets. How much pre-leasing activity are you seeing for those?
Keith Taylor: Aryeh, do you mind -- you broke up there just when you asked the question.
Adaire Fox-Martin: First part of your question, you.
Keith Taylor: Could you repeat that, please?
Aryeh Klein: Yes, sure. Sorry. Just on the strength in presale activity, I think not that long ago, you changed the approach enabling your sales force to sell capacity further out from delivery. Is that some of what you are seeing helping to drive the strength there? And then just on a related basis, there's a lot of capacity set to come online in some of your most important markets. How much pre-leasing activity are you seeing for those?
Adaire Fox-Martin: Okay. Thanks very much for the question and for the repeat. I think that you saw in Q3 in addition to the annualized gross bookings of the $394 million that the team delivered, we also shared the cumulative total presold balance of $185 million of annualized gross bookings, which will be recognized in future quarters. This presales motion is a relatively newer motion for our core retail business. And we have recently extended the window for our sales team to be able to sell retail capacity ahead of delivery for the next 12 months. Previous to that, it was a 3- to 6-month window, and this presales opportunity is something that gives our sales team critical capacity to sell into. And it actually is a degree of comfort for our customers because it enables our customers to know where their deployments will be placed when they need them. And I think in the overall macro environment with the demand continuing to outpace supply, we actually have seen the velocity of presales increase over the course of 2025 through to Q3. I think Keith mentioned in his remarks that 40% of our total presales balance was signed in Q3 of 2025. So providing these two elements, I think, provides greater visibility to our investor community. That being said, when we look at the presales activity, it's fairly evenly spread across the capacity that's coming online, and we certainly have seen very significant activity around locations like Frankfurt, London and others where capacity is in short supply, New York, et cetera. And yes. So definitely seeing the uptick in this, which is why we decided to share that data point with you.
Keith Taylor: Aryeh, maybe I'll just add one other comment to what Adaire said. I think it's also important to realize that part of the reason that we've sort of entered into another sales motion, as Adaire refers to is the fact that you've got a supply and demand environment that has shifted. And we're -- right now, we're chasing demand. We're trying as hard as we can to bring new supply on -- into the business. And so we want to make sure that our sales organization has the ability to have that visibility at the same time, having Raouf and his organization, Global Design and Construction, accelerate as fast as they can some of the builds that were out there to a quarter or potentially 2 quarters sooner than we originally had planned. So it's the combination of basically a demand-rich environment and also us chasing the ability to deliver capacity into the market as fast as we can that really allowed us to enter into the sort of presale arrangement. And so as Adaire said, the combination of the $394 million, $185 million, it just gives you a real sense of how much momentum there is in the business relative to where we were not only 2 quarters ago, but certainly last year.
Adaire Fox-Martin: The one other remark that I think it's important just to reiterate, the presale relates to our retail footprint. So not to the entirety of our business. When we look at our xScale business, that, of course, is -- we're looking at through the lens of pre-leasing. So presale is entirely within the retail business.
Operator: Next, we'll go to the line of Eric Luebchow from Wells Fargo.
Eric Luebchow: Just wanted to touch on what you're seeing in kind of the pricing environment today. You said you're doing more presales. Are you seeing firm pricing or improving pricing just based on some of the capacity constraints we see in the market? And maybe just if I could squeeze one more in. I know you guys have kind of preguided to about a 5% AFFO growth rate next year. I know there's a lot of moving parts as we think into next year, but obviously, interest rates, financing costs looking a little better than you guided to. So any thoughts to some of the moving parts as we kind of roll our models forward to 2026?
Adaire Fox-Martin: Okay. Maybe I'll take the second piece first and then make some comments on the remarks, I think a part on your questions around pricing. So I guess as we look ahead into 2026, we're certainly focused on our execution in Q4. So revenue is a very prime focus for us, ensuring that we have a very strong exit from Q4. And we're certainly feeling very confident about the demand that we're seeing. And I guess our presale and our Q3 gross bookings is evidence of that demand. And Pete also mentioned the ability of our amazing design and construction team to be able to accelerate forward RFS dates. We are monitoring and forecasting RFS with the same intensity that we do for revenue. And we did see a 20% acceleration on the 58 projects that we have underway. So the first, I guess, two elements of our 2026 color is this focus on revenue, this focus on RFS acceleration date. We will also continue to focus on cost and how we are operating the business from an efficiency and effectiveness perspective in order to ensure that we're delivering a very strong operating performance. And I think you can already see some very positive trends there as it relates to that. And then, of course, there is the capital model and the astute management of our capital and our CapEx requirements, which Keith, you may want to comment on?
Keith Taylor: Yes. And so Eric, the -- as it relates to the balance sheet, the one thing in addition to all the good news that sort of Adaire was sharing with you there, the other part of the story is slightly different than where we were at our Analyst Day is that our rate of -- the cost to borrow not only presently, but as you look forward is lower today than it was. So that's a positive news. Add on to that, our ability to raise capital in this environment across different markets and really get a fairly effective low cost to borrow, and as we look forward, we're probably going to continue to, as I mentioned maybe in some of the last calls, continue to look at markets like Canada, Europe, whether it's synthetic or otherwise, we're going to raise more capital and so continue to drive down our cost to borrow. The other thing I would say is we have the ability -- again, we run the business on a global basis, as you understand. And so when we repatriate the capital into the United States, we get a higher return on that capital. And so the ability to manage our balance sheet really effectively as well as the cost line that goes through the P&L is -- we're quite effective at that. And maybe the last part, I would say is, as we've started to increase our construction in progress, no surprise to you, we're continuing to look at how we capitalize the interest expense associated with those construction initiatives, whether it's the prebuy or it's the development of land. And you can see that over not only this quarter, but as we look forward, we'll spend more and more on land or in powered land. And so we'll continue to capitalize interest into those projects appropriate with the business.
Adaire Fox-Martin: All right. And maybe let me just come back on the pricing question. We're certainly not seeing any dilution in our pricing, very firm.
Operator: Our next question goes to the line of Jon Petersen from Jefferies.
Jonathan Petersen: Great. You talked about the 900 megawatts of land acquisitions that you did in Amsterdam, Chicago, Johannesburg, London and Toronto. Can you give us just some more details on if any 1 or 2 of those sites are particularly larger than the others and where you might be expecting to build scale versus retail within those markets on that new land?
Adaire Fox-Martin: Okay. Yes. Thank you very much. We were very excited about those land acquisitions. We believe they're very meaningful and associated closely with the metros where we have a lot of demand from our customers. So as you know, these recent land acquisitions have really brought our land under control to a very significant level, enabling us to -- actually since last quarter to increase land under control to nearly -- by nearly 50%. In terms of how we view the various different elements of the portfolio here, in alignment with the long-term capital investments that we detailed at Analyst Day, we do plan to double our overall capacity, both inclusive of retail and xScale by 2029. And whilst we're not providing a very specific breakdown of the anticipated megawatt delivery between retail and xScale within these recent land acquisitions, we do anticipate that a significant proportion of London and Chicago land purchases will be earmarked for xScale business and will be contributed to the JV for which we will be compensated. And I think our global design and construction teams also remain highly focused on delivering critical capacity across the portfolio. And so to some extent, the split of megawatts between retail and xScale is somewhat fungible because of the full product continuum that Equinix offers across traditional retail, larger footprint retail and xScale. And so really, we're looking to maximize the value based on the opportunity that we see for each of those land acquisitions.
Operator: Next, we'll go to the line of Michael Elias from TD Securities.
Michael Elias: Great. I'm going to see if I can press my luck here. I was looking at the municipal filings for the [ Manuka ] campus site. And from what I found in the minutes for the meeting, I think there was a talk about a split for that Chicago site, some of it being for xScale, some of it being for retail. I'm just wondering if there's kind of any direction you could give us in terms of what your leading is for that campus for retail versus xScale. And then also as part of that, just curious, you talked about signing a bank deal in this quarter. We're seeing some large bank deals out in the market. I'm curious if xScale, you're still thinking about reserving that for hyperscale customers or maybe you'd be willing to take on some large enterprise customers within that space.
Adaire Fox-Martin: All right. So two questions. Let me address them one at a time. So certainly, the concept of a mega campus considers the possibility of jointly co-locating xScale with retail on a single campus. And that is certainly something that we are actively reviewing and considering as we plan out our mega campuses and something that I think will be a value add to all the participants, whether they're a participant in the xScale ecosystem or in the broader Equinix ecosystem. As it relates to transactions with banks, certainly, it was interesting to see financial services as a very dominant sector in our Q3 results. And emerging requirements, for example, in theaters of operation like EMEA, where the DORA regulation is requiring a different level of resilience for financial services organizations. This is also something that's helping to augment the demand that we're seeing in the Financial Services segment. Certainly, we believe that our capacity is somewhat fungible across our xScale and retail footprint. And if there was an opportunity to service a large footprint through an xScale capacity that was available, then we would certainly work with our partners to ensure that, that would be something that we could consider for that customer.
Keith Taylor: And Mike, maybe I'll add on just one other thing. You made a reference to [ Manuka, ] which obviously has many hundreds of megawatts of capacity in that market. As Adaire alluded to, we look at the test fits and understand what is the best structure for both the partnership and for the retail business because quite overly, we want a certain amount of capacity to come into the retail portfolio because we need that capacity in some of these larger markets. And so we're going to continue to look at that. The team as part of any of these large campus type builds, we'll look to see how to bifurcate the land so that a portion stays in the xScale structure and then a portion of it can be owned by Equinix directly. But again, I'd just say, appropriately, you could appreciate that there is some of these larger markets, and Adaire alluded to London and Chicago, but the other one that's out there is Amsterdam, which is in the Greater Amsterdam area and something that we really are putting a lot of attention to. So hopefully, that gives you a little bit more color on the large-sized opportunities that are in front of us.
Operator: Next, we'll go to the line of Michael Rollins from Citi.
Michael Rollins: So a couple of questions. First, with respect to Adaire, you just referenced the larger footprint retail. And from the Analyst Day, that was one of the incremental uses of capital and investment for Equinix. So curious what you're seeing on that front in terms of demand? And are those the types of deployments that you should also see some significant pre-leasing as you get closer to bringing them online commercially? And then just one clarification. Keith, you mentioned the width of the revenue guidance. I think this year, it's -- for 4Q, it's $120 million versus $40 million when you were coming into the fourth quarter of '24. And just kind of curious like if you could frame the nonrecurring revenue toggle of what if all of that opportunity for xScale bookings gets pushed into 2026 versus maybe being able to get all of what you'd like to see in the fourth quarter of '25?
Adaire Fox-Martin: Can I go first?
Keith Taylor: Yes.
Adaire Fox-Martin: Thanks, Mike. So as it relates to large footprint, we actually had a very healthy mix in our Q3 revenue mix of large footprint deals, but also a very, very healthy retail and interconnection uptick in the quarter. As it relates to the applicability of large footprint to the presale sales motion, certainly, we're seeing customers who require capacity that is contiguous as part of that presale sales process because that's one way of securing that contiguous capacity long term, particularly in high-demand markets.
Keith Taylor: And then the second question, which is we really highlighted on Page 15 of the earnings deck, and I know some of you might not have seen the deck yet, but we sort of give a breakdown, a bridge on sort of what's happening. And clearly, there's a meaningful step-up in revenue between Q3 and Q4. And you can see that at 7%, and that also translates into -- sorry, EBITDA profit, 7% quarter-over-quarter growth. Embedded in that, in the prepared remarks, we sort of noted that the $60 million plus will come from recurring, again, a very steep increase from where we historically have been on a recurring basis, and it's very reflective of the comments that Adaire made on the strength of our booking activity and how quickly that turns into sort of a billing line. And so that sort of the $60 million is part of it. But from -- going from sort of the normalized Q3 to midpoint of Q4, it's $153 million step-up. And so it tells you that there's roughly $90 million nonrecurring. Of that, I would say, roughly 1/3 of it is traditional nonrecurring activity, 2/3 is this large potential transaction that we have been working on for months. And so part of the reason we expanded the range quite simply is we have a certain assumption that's based in the fourth quarter here. We want to live within the guidance range that we're guiding you to. Our intention is, and we are highly confident that we can close this transaction in this quarter, but we wanted to give you the range on what would happen if it didn't close this quarter and it closed in Q1, which is not our intention. So again, I think it's just an appropriate way to manage or manage the -- again, the large nonrecurring activity. I might leave you with one other thought. Again, Adaire sort of alluded to it already. As we work with great confidence with, again, potential party to this transaction, it is for the full build -- it is for potentially the full build-out and that's 240 megawatts. Those 240 megawatts are split into four buildings at 60 megawatts each. Embedded in this number is roughly half of that. So you can get a sense that to the extent that we do the entire transaction, it sort of puts us in a different part of the range than where we typically try and run at midpoint or better. So hopefully, that gives you the color that you need. And because it was a complex response, we probably are happy to ask -- let you ask a follow-up question if you need to.
Michael Rollins: That was super helpful color. So Keith, thank you so much. But since you're giving me the extra question, I have to take advantage of it. So just curious, one of the things I was looking at was when I look at the Slide 7 -- actually, sorry, 8 and 9, and I'm looking at the regional performance. And I'm looking at the normalized constant currency type of growth rates in each region relative to the EBITDA and trying to think about margins, what's happening in the segments where it looked like margins accelerated significantly in the Americas. You had less EBITDA growth in EMEA and kind of middle of the pack in APAC. And is there anything unique about this quarter in terms of the way investors should be thinking about operating leverage or just continuing to expand margins as revenue grows in each of these regions?
Keith Taylor: Yes, thanks for the question, Mike. I think one, it's a very fair question and one that we certainly want to talk about. As Adaire alluded to earlier in her comments, in addition to driving the top line growth, which you're seeing, obviously, the magnitude of increase in our annualized gross bookings, in addition to that, you can throw on the presales. The business is performing really well. But we are actively going after the cost. And the thing that's unique about the Americas, remember, we break our business into three segments. And embedded in the Americas business is basically all the corporate SG&A, which, of course, is a lot of the SG&A line that sits on our financials. And so by attacking the cost line, you're seeing a lot of benefit coming into the Americas region for those reasons. The second thing I'll talk about is you've got some one-offs. And like anything, when you have xScale and you have transactions and particularly last year in EMEA, some transactions in the xScale space that didn't repeat themselves. And so the profitability shifts between the years. But I would say that just fundamentally, there's one-offs in EMEA this quarter to the tune of roughly $10 million. And if you compare it to the same quarter last year, there was a $10 million benefit in the quarter. And so you have a $20 million swing. And that has a big enough move in the EMEA business to cause some movement around the margin line. But fundamentally, you can see when you look at APAC, you look at Americas and ultimately, when you take out sort of the seasonal aspects of power costs and some of the one-offs from xScale, the fundamental business, the profitability is increasing in all three regions of the world. And that's something that, again, that Adaire has been pushing us on across the markets and also the corporate functions to make sure that we're as judicious as possible with our spend.
Operator: Next, we'll go to the line of Jim Schneider from Goldman Sachs.
James Schneider: A little bit of a left field question. Given the 12 xScale projects you're working on, maybe give us a sense about your level of confidence of power availability and scheduling for those additional projects. I'm assuming you feel relatively confident, but maybe kind of give us a sense of the time frame for planning those. And then any changes you're seeing in terms of your anticipated use of power, whether it's grid power or other alternative sources for those?
Adaire Fox-Martin: All right. Thank you. There's a lot to unpack in that question because I think there's a lot to unpack in the power and energy narrative around the data center space. And there's no doubt that this is a complex area and the complexity is certainly growing by the day. I think Equinix has a number of significant benefits here when it comes to navigating power as a constraint in the industry. First of all, your 27-year history, which has a very clear profile of how we use power, how we minimize and optimize our use of energy and also the relationships that we've developed over that period of time with all of the utilities who provide us service and partner with us from the grid. And this is something I think that's held us in good stead as we are looking at this issue holistically across the business. I think the second thing that we can see is that there is a change in terms of the customer supplier dynamics between the data center and large energy users and the utilities overall in that in many cases, for many of these land acquisitions, there is a contract that you enter into in order to secure the load ramp that you have identified for this acquisition, and that often requires a CapEx investment in order to secure that power commitment. I think as Keith mentioned earlier, we're extremely fortunate to have a very, very strong balance sheet and to be able to meet those requirements in a very differentiated way. When we look at the land acquisitions that we've made recently for the land that's under our control, either the power for these lands is either already fully committed or we're in very advanced stages of discussions with the power providers because as I'm sure you know that we're not in the business of speculatively buying land. As it relates to our 12 xScale projects that are underway, all of our current 12 projects, all have power secured. So power is not a constraint on the 12 xScale under development scenarios. I hope that gives you a picture of where we are in terms of the 12 xScale projects, but also the broader power continuum.
Operator: Next, we'll go to the line of David Guarino from Green Street.
David Guarino: A question on the annualized gross bookings and now the new metric presold gross bookings. I'm admittedly still trying to wrap my head around what a normal run rate each quarter should look like. So was this a one-off quarter? Or is this the normal run rate we should expect going forward? And then similarly on that comment, Adaire, just to clarify the comment you made earlier, there is no price difference for customers committing to capacity 12 months out versus committing today. Is that correct?
Adaire Fox-Martin: Yes. Maybe the first part of your question, I'll try to address. Look, I think when you look at our bookings history, and of course, this is a relatively new measure that we revealed on Analyst Day for the first time, and we did provide a little historical perspective when we provided that number on Analyst Day. You can see that it is a relatively consistent growth story across the annualized gross bookings measure. But in fairness, it is also a measure that could be quite volatile depending on how a particular quarter would play out. I think as it relates to our position as we move into Q4 and executing now as we are on Q4, already 40% of our Q4 budget and target is already closed at this point of the quarter. And the pipeline that we have as it relates to Q4 is a very strong pipeline. And so our standard conversion rates applied against that pipeline would lead us to believe that we will meet our Q4 budget. So I think for the period of time that we have shown this data, you can see a relative degree of consistency in terms of growth over quarter-over-quarter, but I would make the point that bookings can be inherently volatile. And therefore, it's not possible to predict that bookings themselves will always be up and to the right, even though we believe that the underpinning demand in the market and the momentum in the market is up and to the right.
Keith Taylor: And David, maybe just one sort of add-on to Adaire's comment. To the extent that we don't have capacity in certain markets, and as we talk about, there's -- presale isn't in that number, that $394 million. And so to the extent that we say we run out of capacity in a given and sort of highly sought-after market, you might see a scenario where presale activity moves. So as Adaire said, you can have some volatility, and we used to have more seasonal volatility. But because of the supply-demand dynamics, I think that's very different today. But that also presents a scenario where you could have maybe more presale activity than you would have basically annualized gross bookings. And so there's going to be these trade-offs. And again, we don't -- I can't give you a number right now, but I think to the extent that we see things happening, we're going to guide you to it. And we say, hey, we're out of capacity in these five markets, we anticipate more presales than we would say annualized gross bookings, which turn into revenues much sooner than a presale item.
Operator: Next, we'll go to the line of Frank Louthan from Raymond James.
Frank Louthan: Great So talk to us about the uptick in the cross-connect revenue and the ARPU there. What's driving that? Is that more power densities or a customer mix? And is that strength you're seeing in the Americas replicable in other markets and other areas of the world? Is that sort of a -- is that great to see the lead there in the Americas?
Adaire Fox-Martin: Yes. Thank you. Certainly, the Americas is the leader in terms of the demand that we're seeing for our interconnection portfolio, and we added 7,100 physical and virtual interconnects. And as a result of that, our interconnection revenue grew 8% year-on-year. The cohort of customers, you can see the technology and infrastructure providers, the clouds being the ones who are driving that demand, primarily in the Americas business. And I guess as we start to see those organizations and segments proliferate into other markets, then we will see that continue to evolve and grow in other theaters of operation. But you're quite correct in your assumption that this was largely driven by our Americas business this year -- this quarter rather.
Frank Louthan: And was it power densities or customer mix? Or what's sort of driving that?
Adaire Fox-Martin: Customer mix, customer mix.
Operator: And for our final question, we'll go to the line of Michael Funk from Bank of America.
Michael Funk: So first for you, Keith. I heard the comment on the call about accelerating some of the builds and also your comment about capitalizing some of that expense. But does any of that change your thought or outlook on level of AFFO or the shape of AFFO growth that you laid out at Analyst Day? And then second, for you, Adaire, putting your tech hat back on, as you think about distributed AI infrastructure solution and other emerging solutions at Equinix, can you size the addressable market for us for those and how you think about it?
Keith Taylor: Yes, why don't I take the first question, then we'll pass it back to Adaire. So as I said in my sort of -- in response to one of the earlier questions, the company has had the ability to raise capital at a lower rate than originally planned, even though the majority of it, we're going to do a lot of refinancing in '26, '27 and '28. The underlying assumptions have changed as well. And I would say, I don't want to take this as an opportunity to shift guide on as you know we'll spend time in February on what we're going to do for 2026. But it's fair to say that our cost to borrow is lower. We're getting good return on the cash that's sitting on the balance sheet. And we are capitalizing a little bit more largely because we have more construction in progress. And as a result, you should expect capitalized interest increase a little bit. To give you a perspective, in Q2, we capitalized roughly 14 -- if I got my numbers right, $14 million. In Q3, we capitalized $27 million. And then in Q4, the number will be somewhere between $20 million and $30 million of capitalized interest. And so that's a little bit higher than what it was before. But we're spending faster. We're accelerating faster. Again, we really ask Raouf [indiscernible] and the teams to really build as fast as they can. And so with the acceleration of the capital spend, you would see more capitalized interest go into the balance sheet.
Adaire Fox-Martin: As it relates to the product portfolio, certainly, you can see this increase in our interconnection revenue up to $422 million in the quarter and a very specific focus on fabric with a 57% year-over-year increase and actually continuing to provision at record levels. We're now up to 110 terabits in terms of fabric provisioning. So I think all of this speaks to the connectivity narrative and opportunity that Equinix represents and the range of services that Equinix can provide to customers who are considering AI and non-AI-orientated workloads. The connectivity of the company is certainly the secret sauce. And I do feel that there are opportunities for us to look at potential for this aspect of our product portfolio. But I would say that connectivity is not just the only dimension around which people are considering Equinix when they look at solving for deploying inferencing and inferencing-based workloads at Equinix. Latency is one dimension, but there are others around model provider flexibility, around edge processing so that you're reducing the cost of bringing data back to the center, around data residency and compliance so that sensitive data is being processed [ in situ ] and also around intellectual property protection. And all of these elements are considerations around the platform that is Platform Equinix when our customers consider workload deployment and workload placement with us. So I think this represents a very viable opportunity for us to continue to evolve and grow.
Keith Taylor: Great.
Phillip Konieczny: Thank you, everybody, for joining the call...
Keith Taylor: And go ahead.
Phillip Konieczny: Yes. Thanks, everybody, for joining the call. Have a great afternoon, everybody.
Operator: Goodbye. Thank you all for participating in the Equinix Third Quarter Earnings Conference Call. That concludes today's conference. Please disconnect at this time, and have a great rest of your day.